Operator: Good day, ladies and gentlemen, and welcome to the Net 1 Q2 2022 Earnings Call. All participants will be in listen-only mode. There will be an opportunity to ask questions later during the conference. [Operator Instructions] I would now like to hand the conference over to Dara Dierks. Please go ahead.
Dara Dierks: Thank you, Operator. Welcome to our second quarter 2022 earnings call. With me today are Chris Meyer, Group CEO; and Lincoln Mali; South African CEO; and Alex Smith, CFO. Our press release and supplementary investor presentation are available on our Investor Relations website at ir.net1.com. As a reminder during this call, we will be making forward-looking statements and I ask you to look at the cautionary language contained in our Form 10-Q regarding the risks and uncertainties associated with forward-looking statements. Also we will discuss our results in South African rand, which is non-GAAP. We analyze our results of operations in our press release in rand and to assist investors understanding of the underlying trends of our business. As you know the company’s results can be significantly affected by the currency fluctuations between the U.S. dollar and South African rand. Chris will start the call with an update on strategy, then Lincoln will provide an update on the turnaround of the South African operations. And finally, Alex will go through the results of the second quarter. Following that we’ll have a Q&A session. With that, I would like to turn the call over to Chris. 
Chris Meyer: Thank you Dara, good morning, good afternoon and thank you to all for joining us for our second quarter earnings call today. On today’s call, I’d like to focus on four key pillars that are critical to the successful transformation of Net1 into becoming a leading South African full service FinTech platform. Delivery on each of these pillars will enable the management team to stay focused on repositioning the business for growth and capturing the long-term opportunity we see ahead. Firstly, I will provide an update on the transformation in our consumer financial services business, and discuss the early progress we have made towards our strategic imperative in returning the consumer financial service business to breakeven by June 2022, and then into profitability as soon as possible thereafter. Secondly, I’ll provide a high level update on the acquisition of Connect Group and recap on the opportunity, the merged entity will provide. And thirdly, I’d like to take you through the progress we are making in transforming our organization into a world-class platform. And lastly, I will highlight the important work we are doing in South Africa to strengthen our relationships with key stakeholders. So, I’m encouraged by the progress we are seeing in the turnaround of our consumer financial services business, which is manifesting in some of the key performance indicators we are measuring. Each of the three levers we focused on, which are growth in active accounts, increasing average revenue per customer, and cost optimization have all started to deliver benefits. Lincoln will give you more detail on the performance of each of these. But at a high level, I’d like to make a few points. Firstly, active EPE account numbers increased to just under 1.1 million active customers. We took a proactive approach to winning new customers with our newly trained sales force becoming more active in the communities. As an example, SASSA recently launched a new registration portal for grants, transforming a process that is very paper based and takes weeks to an online process that can take minutes. And as a result, we are empowering our sales force with the right tool to go into the communities and help grant recipients register for their grants online and at the same time, register for a new EPE account. Existing grant recipients who want to move their banking to an EPE account are also being assisted online through the portal. And we see this as a positive step in the right direction. Secondly, ARPU. ARPU performed slightly ahead of our target of $4.50 and with a focus on winning a bigger share of our customers’ wallets, we are investing our efforts into better understanding our customers and the type of products they are looking for. This has highlighted the gap in the market for the launch of two new products, which have already delivered positive signups. Cross-selling into our existing book is an important focus area to deliver growth in ARPU. We already have a 38% penetration into our loan book. However, in our insurance book penetration remains low at around 19%. This presents an opportunity with 90% of our employees now trained on all Net1 financial services products with accreditations to follow, we can actively cross-sell into our existing base. And touching on the last lever cost control, a lever which is fully in our control and which moves the needle the most in returning the business to profitability in the near-term. Progress on the direct cost actions taken during the quarter can be clearly seen in the Q2 numbers. We reported a strong improvement in EBITDA, a loss in Q2, showing the operating leverage in our business. And pursuant to our review and optimization of the overall cost base, we launched Project Spring. Now Project Spring will include the cost reductions we have communicated to-date, as well as further cost reductions realized through a restructuring of the consumer financial services business and the rationalization of our distribution network. On an annualized basis, Project Spring is targeted to deliver in excess of 300 million rand or $19.5 million in annual cost savings would represent just over 20% of the consumer financial services cost base and freeing up some capacity for targeted investments in the business. Lincoln will provide a detailed update on the turnaround of the South African operations later on the call, and Alex will provide more color on the cost benefits to the bottomline. Given our progress on these levers, we continue to work towards reaching our breakeven targets for the consumer financial services business by June 2022. Our second topic is regarding the Connect Group acquisition. And for those who are new to Net1 it might help to briefly discuss the rationale for the acquisition. As we announced back in November last year, the Connect Group acquisition represents a transformational leap forward in Net1’s journey to becoming the leading FinTech platform for the underserved in South Africa. With this acquisition, we believe, we will be able to transform our merchant business, competitively positioning the combined entity to address the 700,000 formal MSMEs and the 1.4 million informal MSMEs, which is a large and growing opportunity. The Connect Group offers four main products to its customer base. First, a prepaid value added services platform branded Kazang. Second, a digitized cash management and supply payment solution branded Cash Connect. And third, a digitized provider of growth capital to merchants branded Capital Connect. And fourthly, a merchant acquiring solutions platform branded Card Connect and Kazang Pay. The Connect Group will form part of our merchants B2B segment with a combination broadening our footprint and enabling us to deliver on our growth aspirations. In our next set of results, provided the transaction is closed, we will provide further information on the strategy for the combined entity. And as a reminder, the Connect Group transaction is subject to regulatory approvals, and other customary closing conditions. The respective financing group agreements have been concluded subject to usual condition precedents, and the transaction has been lodged with the competition authorities to obtain competition approval in South Africa, Namibia, and Botswana. But on the whole, we feel the transaction closing process is moving forward as planned and importantly, the Connect Group is performing in-line with expectations. I’d now like to turn to my third topic, which is about building a world-class platform. We believe building a world-class platform firstly requires highly talented people. Secondly, an environment where they can outperform. And thirdly, a clear vision and strategy where everyone is aligned, understands their role and knows what winning looks like. We need to deliver on all three of these. And I’m pleased to say that our leadership team of highly talented people is now largely in place with a focused goal on delivering on this vision and strategy. And I want to welcome our new group CFO, Naeem Kola, who will begin his role at Net1 on March 1, 2022, and Basie Kok, our new CTO. Basie is a proven tech entrepreneur who brings over 15 years of financial technology experience to Net1. We also have our new head of Human Capital, Karabo Mothibi, a new head of consumer financial services, sales and distribution, Simphiwe Pakathi. And shortly next week, our head of risk and compliance Denzel Landie will also be in place. I wanted to take this time to thank Alex for his dedication and commitment to Net1 and express how thrilled I am that he will be staying on as our Group Accounting Officer. With these enhancements, we have built an exceptional team who will stay laser focused on executing our growth plans and advancing our strategic initiatives. Our fourth and last pillar is improving stakeholder relationships. We continue to build our relationship with SASSA through regular constructive engagements at both a national, provincial and local level. As I mentioned in our Q1 results, we have made a joint submission together with Grindrod to SASSA to become one of a number of banks providing specific social grant payments services. We also waiting for the announcement from government on the outcome of this tender. However, this joint bid evidences the strength of our growing relationship with Grindrod. Furthermore, Net1 Moneyline is now officially registered on the national treasury database as a supplier positioning us for participation in future efforts by government to digitize the grand payment system in South Africa. A key stakeholder of course, is our customer. And building relationship with them at community level is of paramount insurance, importance rather in building trust to ensure they choose us to safeguard their financial assets. As part of our CSI initiatives, in-line with our core purpose of improving people’s lives we sponsored a number of branded blankets, wheelchairs, and large freshwater tanks in some of the communities in which we operate. Taken together, these partnerships are an important part of our strategy to increase Net1’s visibility and broaden our growth opportunities. And so, before I turn the call over to Lincoln, I would also like to just highlight a change in the way we segment our business. We have decided to move away from the previous segmentation of processing financial services and technology to segmenting the business based on the way we operate, analyze and manage the business. We have therefore made the decision to segment the business into consumer and merchant. The consumer operating segment, i.e., our consumer financial services business will group all financial services provided to customers, in other words business-to-consumer. The merchant operating segment will group all goods and services provided to corporates, in other words, our business-to-business division. And the Connect Group will be included in the merchant segment following the close of the acquisition. This segment change is reflected in our fiscal Q2 reports and Alex will provide additional color later in his remarks. And with that, I’ll now hand over to my colleague Lincoln Mali. Lincoln?
Lincoln Mali: Thank you, Chris. Good morning and good afternoon, everyone. Thank you so much for the time you have afforded us. As Chris mentioned, I’ll be unpacking some of the details behind what we’re doing to target the consumer business returning to pay given by June 2022 and profitability as soon as possible thereafter. I will also use the time to explain some of the results we’ve seen already in this quarter. Chris mentioned that we have three levers we’re focusing on. Growth in active accounts, increase average revenue per user, ARPU and cost optimization. I’d like to focus on the first two. In order to drive growth in active accounts and increase ARPUs we’ve had to fundamentally rethink the way we do business and focus on gaining a better understanding of what our customers are actually looking for. Our customers are our customers by choice and to ensure that they trust us and choose to do business with us, we need to make sure that we need one, have the right sales team empowered with the right tools to be able to better serve them. Two, build a deeper relationship of trust with them. Thirdly, understand their needs and the type of products they are looking for to drive a bigger share of wallet, and ultimately higher ARPUs. And lastly, have the right distribution footprint to better service our customers in their communities. So at the beginning of our fiscal second quarter, we undertook a massive training program to up-skill our sales force nationally on all Net1 products, as well as to improve their sales acumen. This meant teaching them how to better connect with customers to intent a deeper relationship, as well as gain a better understanding of our customer needs. We have successfully trained about 90% of our sales force so far. The insurance product on its own requires training that is followed up by an accreditation exercise. This has increased the number of accredited sales representatives from 386 in quarter two fiscal 2021, to 554 in quarter two fiscal 2022. To better understand how the newly trained sales force were performing, we started to improve our own metrics measurement by sales consultant, by brands, by province so that we can see the actual performance. We’re still at an early stage of our journey, but we can see the refocus sales culture, starting to emerge from our teams. Our newly trained sales teams focus their efforts on building relationships with our customers. Spearheaded by our new head of consumer financial services sales and distribution, Simphiwe Pakathi, our sales force took to the streets and into the communities and interacted with our customers in their place of -- stay in their communities to better understand their needs, and bode deeper relationships of trust. This allowed us to identify a gap in the market for two new products. On the first of November 2021, we launch a new product, EPE Light, also a very successful pilot. This new account is competitively priced, with a lower five brand membership fee for the entry level low cost contractual account market. This product is currently performing above expectations with around 20,000 growth enrollments during quarter two. In November 2021, we re-launched the rebranded standalone insurance product. This product was previously called [Indiscernible] and has now been rebranded to Smart One. The rebranding was also accompanied by the increase in the insurable value of up to 30,000 rand, and an increase in premium pay cover type. Lastly, we also launched our one month loan product, and that is also showing great traction with around 5,300 loans issued since inception, of which 60% were issued in quarter two. The maximum loan amount on this product is 500 rand for a period of one month. In order to better service our customers in their communities, we are also revising our current brand footprint to ensure that we have optimum number of branches with appropriate productivity in the right catchment areas, and to ensure that we continue to own the last mile. During this quarter, 78 underperforming branches were identified and are in the process of being closed with ATMs from these branches already relocated. A framework was developed to assess the location of each ATM to ensure that they are strategically placed closer to where our customers are, to deliver higher volumes through securing better visibility, longer operating hours and access to higher foot traffic. Working together with strategic regional partners, we have relocated a number of underperforming ATMs to prime retail sites. For an example, an installation of 58 ATMs into the group, and 86 ATMs into hypotheses commenced in December. We found that ATMs located in our Express branches that we recently launched, became a target for increased ATM robbery. As a result, we’ve taken the decision to remove ATMs from all our Express branches and relocate them into retailers that are in the community. A partnership with various retailers has been reached, which will allow EPE and EPE Light color customers to do direct deposits or withdrawals from their till points. At quarter end 31 December 2021, over 5,480 retail outlets are now available to our customers nationally for withdrawals and deposits. All these efforts contributed to driving account growth. On a gross basis, we saw 126,000 new accounts enrollments over the quarter. With average activation rates in-line with previous trends of 45% to 50% after three months of account opening, active EPE grew to just under 1.1 million active account holders as Chris mentioned earlier. There is now a dedicated work stream focusing on improving account activation and utilization. The initiatives we’ve put in place to improve account activation are already starting to deliver results with activations on new enrollments accelerating in the last two months of the second quarter. A renewed emphasis on cross-selling of loans and insurance products has contributed to ARPU growing slightly ahead of our target of $4.50. Now coming to our other products. Our loan book evidenced a 38% penetration, with around 221,000 new loans issued to the capital value of 321 million, with a capital value of new loans up 12% quarter-on-quarter, ending the quarter with an outstanding balance of 382 million. The performance of the loan book remains very good with a loss ratio of around 1%. The measures were put in place to reduce churn at delivering results with our loan book showing a notable trend of repeat borrowing where clients pay-off existing loans and reapply for new loans on a regular basis. We have noted over 200,000 customers on the current loan book are repeat borrowers. It’s important to emphasize that these repeat borrowers must undergo and do undergo new credit vetting process to ensure that they can still afford the loans and that our loan book remains healthy. We have also had extensive engagements with our customers about why they take loans from us. And the feedback has been overwhelmingly positive.  In our case, we offer a competitive advantage, because our processes are straightforward and easy to understand, with full disclosure of how much is being borrowed, how much must be repaid every month, and how longer repayment period is. This is all made possible by the model that we’ve got in place where the maximum loan amount is 2,000 rand or $125 and the maximum period is six months. We strongly believe that our work in this space is at the very heart of financial inclusion by offering transparent, easy to understand, competitively priced lending products to those in the most underserved sections of our society. We ensure that through employee training and consumer awareness, we’re lending in-line with the National Credit Act and are regulated by the National Credit regulator. When it comes to the insurance book this provides us an ongoing opportunity as Chris mentioned earlier, to execute on our cross-selling strategy because of the low penetration levels that are averaging at 19% of our active account base. This is way below the target we want of about 45%. During quarter two, we did write over 6,000 new policies. Finally, on Project Spring, the last lever of cost optimization. We are pleased with the progress we’ve seen in the second quarter, having delivered a 53.5 rand or $3.5 million reduction in fixed cost in our consumer financial services business underpinned by execution on our direct costs initiatives. We embarked on a challenging project to shutdown our mobile payment business to create a true financial services business unit that sells on taxable accounts, loans and insurance products. Unfortunately, as much as we tried to minimize the impact on our employees, we recently announced a Section 189 process, which started in January, and will conclude early March 2022. The South African labor arbitration body, the CCMA, Commission for Conciliation Mediation and Arbitration has been invited to lead this process and they are busy with this process as we speak. The combined cost savings that Project Spring is estimated to deliver is in excess of 300 million rand or $19.5 million on an annualized basis. We have already seen 53.5 million rand or $3.5 million on these cost savings realized during this quarter and we are targeting to realize about 100 million over the remaining two quarters. These are difficult times for our employees and their morale is adversely affected. But in response, we have been more visible and more engaging as leaders to ensure that our employees keep serving customers whilst we’re giving them the support and counseling they certainly deserve. Moving into our merchant business or the B2B. This was negatively impacted by delayed hardware sales in the new NUETS terminal supply business due to the global chip shortage. However, the demand for product remains strong, with continued support from key customers for payment devices order. We have worked with our suppliers and outstanding devices ordered, I expect it to be delivered over the next two quarters which will drive a rebound in the merchant business. We’re excited about the potential Connect Group acquisition and what this will mean for our broader matching business as a combined group, opening the door to integrate our value added services model across platforms. In closing, I’d like to recap that we’re on track with the overall turnaround of the consumer business with all the initiatives I have spoken about progressing very well. On the merchant side, the transformative Connect Group acquisition is in the process of being finalized with regulatory requirements moving ahead in-line with expectation. Our responsibility during this time is to lead with empathy and compassion during these difficult times, as we make tough choices towards our goal of reaching breakeven in consumer financial services by June 2022. I now hand over to my colleague Alex to give you the financial picture for this quarter. Alex?
Alex Smith: Thank you, Lincoln, and good day, everybody. Now let’s turn to the details of our financial metrics for the quarter. Firstly, as Chris highlighted earlier, I wanted to point out the change in our segmental disclosure beginning the second quarter. The new segments are disclosed in the financial section of our earnings press release with more details in our fiscal second quarter 10-Q and they show the operating results of the group split into the two business units we are now looking at in order to manage our operations. We’ve decided to label our business units as consumer and merchant talking to the nature of the customers we serve in each segment. Consumer will comprise the financial services business, while merchant will comprise what we’ve been referring to as payments. When the Connect Group acquisition -- it will form part of the merchant segment. Moving on to the financial update for the quarter. Our performance was characterized by continued delivery on the turnaround in our consumer financial services business, which was partially offset by a slightly weaker performance in our merchant business, primarily as a result of supply chain delays due to the global chip shortage. On a normalized constant currency basis, total revenue for the quarter was down 4% year-over-year. On a reported basis, total revenue for the quarter was 31.1 million, which was also a 4% decrease year-over-year in U.S. dollar terms. The rand was broadly similar levels against the U.S. dollar during the second quarter of fiscal 2022 compared to the same period in the prior year. So let’s unpack this year-on-year quarterly performance in a little bit more detail focusing on our segments. I’ll start with the merchant business, which was the main driver of the low revenue number which was down 7% year-on-year in dollar terms. Revenue from processing fees was up 26% underpinned by strong performance in our EasyPay business with bill payment volumes up 9% year-on-year, and an increase in the commission earned on the value of prepaid electricity and airtime sales. However, this performance was offset by a 40% decrease in revenue from technology products due to the global chip shortage which impacted sales of terminal devices. We have committed orders, but the delivery delays have led to a delay in revenue, which we expect to rebound in the third and fourth quarters once stock is received. On the consumer side, our focused efforts to return the consumer business to profitability translated into revenue of $16.6 million, up 2% year on year. This was underpinned by a strong performance in the insurance business and moderately higher account holder fees. Despite a loan book of 382 million rand at December 31, 2021 compared to 352 million rand a year ago, and a 19% increase in the capital value of new loans year-on-year, lending revenue was slightly down by 2%. This is because the majority of the new loans issued during the quarter were issued in December with the revenue from these loans expected to flow through in the following quarters. On the profitability front, we’re starting to see the benefits of our cost optimization initiatives coming through. Both on a constant currency and reported basis the adjusted EBITDA loss for the quarter improved 42% from a loss of $12.1 million in the prior year to a loss of $7.1 million. The main drivers of this improvement were disclosure of our loss making IPG business and stronger profitability in the consumer segment, which improved EBITDA loss by 13% year-on-year and 52% versus quarter one, 2022. This was boosted by the execution of 53.5 million rand or $3.5 million of Project Spring cost savings initiatives largely linked to the closure of our mobile pay point infrastructure. Included in our income statement for the current quarter is a $2.4 million unrealized loss related to a fair value adjustment in respect of currency options. In anticipation of the closing of the Connect Group acquisition, we’ve entered into a currency hedge to fix the dollar amount required to meet our obligations. Of an estimated $132 million of cash, we have allocated to the transaction, $122 million has been hedged as an effective rate of 15 rand 72. And the GAAP, these hedges must be marked-to-market at each period end, resulting in this non-cash accounting charge for Q2 fiscal 2022. Turning to our various investments, Finbond has no impact on our results this quarter, any reports during our first and fourth quarters. We currently hold our investment in Finbond on our balance sheet at $7.2 million. In respect of Mobikwik we continue to hold our investment at $76 million in-line with the valuation achieved in the June 2021 fundraise. They have postponed their planned IPO in the face of unfavorable market conditions, but are optimistic of being able to launch this during calendar 2022. They are making positive progress in expanding their B&PO business. We continue to hold our investment in Selsey at no value. We noted the renewal of the cautionary by Blue Label telecoms in respect of the recapitalization and are optimistic about their prospects of achieving this. We continue to hold around $14.5 million of Cell C airtime within our inventory balances. At December 31, 2021, we had unrestricted cash of $182.4 million, down 8% from the $198.6 million at the end of June 2021. The decrease in our unrestricted cash balances from the year end was primarily due to growth in our financial loans receivable book in December 2021 and the utilization of cash reserves to fund our operations partially offset by the receipt of $7.5 million related to the sale of Bank Frick in fiscal 2021. US dollar denominated balances were $159.4 million out of that total. And the total cash represents $3.33 per share, and about 59% of our current net asset value of $5.64. Our operational cash burn for the quarter amounted to $13.8 million, which included around $4.2 million of investment into working capital being principally in respect of our lending book. With that Operator, we’d like to turn the call back over to you for the Q&A portion of our call. Thank you.
Operator: Thank you. [Operator Instructions] Our first question is from Raj Sharma of B. Riley. Please go ahead.
Raj Sharma: Hello, good morning. I had a question. If you could kind of touch upon the EPE accounts, the number just under 1.1 million. Can you also talk about the churn in the accounts? Has there been substantial churn in the last quarter? And if you’re including the EPE Light numbers in the figure that you just gave of 1.1 million.
Chris Meyer: Hi Raj. Thank you for your question. I’ll try and just make sure I cover all of it. So firstly, the 1.1 million, just under 1.1 million active accounts does include the EPE Light customers. It’s still relatively small in terms of active accounts. So the contribution numbers is still relatively low. But we have included in that number. In terms of churn, I think what I’d say is, we are still learning. We still like understanding customer behavior, customer experience and really getting closer to the activity in this book. There is churn and as I say, we’re working on that, and really trying to understand it and root cause it. So we will, when we’re ready and have a clearer sort of sense of trends, be able to start giving you some sense of what that will look like. But for now, we feel it’s quite early days, and we’ve got really like two quarters, if you think about it behind us of this new strategy and so we are learning, and we don’t believe yet that we can really with confidence give you a sense of trends. I hope you understand that. Thank you.
Raj Sharma: Yes, sure. Thank you. And then my next question is on the merchant group sales. I mean, what would the sales have been if you didn’t have the delays on the equipment? And could you reiterate that you would see a recovery in the next two quarters? How much was the impact is what I’m trying to understand on the merchant group sales because of the chip shortages.
Chris Meyer: Hi Raj. The impact on the POS devices, since the POS devices that we were selling, that’s been primarily the impact. Look, it’s always a bit difficult to quantify exactly what that number is quarter-on-quarter, because the nature of these sales are, that they are quite lumpy. I think the one thing that we have confidence is that we have a committed order book and a strong committed order book that we’re expecting to come through in Q3 and Q4. Obviously, I think there’s been plenty of publicity around -- the chip shortage hasn’t gone away. But we have seen, we’ve had commitments from our suppliers around meeting the obligations that we have in terms of the orders that we’ve had from our customers. And so we were certainly in regular contract around making sure that we fulfill those orders and meet our expectations over the next couple of quarters.
Raj Sharma: Got it. Thank you. And then if I could ask Connect Group acquisition, what are the remaining approvals that are left? And could you talk about the timeline? Are you still expecting a close by the end of Q3?
Chris Meyer: Thanks, Raj. Yes, our timeline as I was saying earlier is largely unchanged. We feel the transaction is moving along in the timeframes that we previously communicated and expected. And so yes, sort of late March is our sort of guidance around that where we feel the transaction should close. Now, the key requirements to closing is competition commission approval, and we are in the midst of that process with the competition commission and it’s moving along again in the timeframes that we anticipated, and at this point, we have had no cause for concern or surprise. So I think the timeframes are moving as expected. The competition commission is the main requirement for us to receive approval and we’re hoping to get that all done and in place by the end of March.
Raj Sharma: Got it. Thank you. Just one last question on the account, in the new account growth I know that it was great to hear Lincoln talk extensively about all the efforts that are going into recalibrating the sales force. But could you give us a sense of what we should expect as ongoing new account, gross new account adds for the next couple of quarters? And your efforts into acquiring SASSA accounts, would those be materials for the next two quarters?
Chris Meyer: Raj, as we were saying, we feel it’s early days. We’ve really got to my mind, two quarters of data to go upon. We feel tremendously excited about the shift that’s going on in the business into sales, driven sales oriented organization. We have tremendous focus on improving our processes, training our staff as we said, getting out into the communities and really understanding our customer base. So we’re delighted with the progress we’ve made. But we just feel it’s too early at this point to make predictions or try and give estimations on let’s call it a steady state or even a trend around account growth. So my appeal would be, be patient with us. We are working full steam ahead. We’re giving everything to the turnaround out of this business and getting into breakeven as quickly as possible as we have said and as those trends emerge, we’ll be wanting to share them with you. Thank you.
Raj Sharma: Great, thank you so much. I’ll take my questions offline. Thank you again.
Operator: [Operator Instructions] It seems we have no further questions on the lines. I would like to hand back to Dara for closing comments.
Chris Meyer: Dara, it’s Chris, if I may, I’d like to just, I just wanted to conclude really by emphasizing that we remain excited about the progress towards our transformation and then turning around the financial services business through those three levers of customer acquisition, increased ARPU and reduced cost. And to ultimately deliver on our goal of building a leading South African FinTech platform for underserved consumers and merchants. And we remain committed to this and we look forward to sharing more on the journey in future calls. And so thank you very much, Operator and thank you to everybody for joining us on the call and for the interest in our business. Thank you.
Operator: Thank you. Ladies and gentlemen that concludes this conference for today. Thank you for joining us. You may now disconnect your lines.